Operator: Thank you for standing by, and welcome to Splunk's Fourth Quarter Fiscal Year 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's call is being recorded. [Operator Instructions] I would now like to hand the call over to Ken Tinsley, Corporate Treasurer and Vice President of Investor Relations.
Ken Tinsley: Thank you, operator, and good afternoon, everyone. With me on the call today are Graham Smith, Shawn Bice and Jason Child. After market closed today, we issued our press release, which is posted on our Investor Relations website, along with supplemental material. We also issued a press release regarding our new CEO. This conference call is being broadcast live via webcast and following the call, an audio replay will be available on our website. On today's call, we will be making forward-looking statements, including financial guidance and expectations, such as our forecast for our first quarter and full year fiscal 2023 and our future expectations of revenue growth, revenue mix, renewals, duration, RPO growth, cloud growth, bookings, cloud gross margin, total gross margin, operating cash flow and the metrics we will report on and guide to in the future, as well as trends in our markets and our business, our strategies and expectations regarding our products, technology, customers, demand and markets. These statements are based on our assumptions as to the macroeconomic environment in which we will be operating and reflect our best judgment based on factors currently known to us, and actual results or events may differ materially. Please refer to documents we file with the SEC, including the Form 8-K filed with today's press releases. Those documents contain risks and other factors that may cause our actual results to differ from those contained in our forward-looking statements. These forward-looking statements are made as of today, and we disclaim any obligation to update or revise these statements. If this call is reviewed after today, the information presented during this call may not contain accurate or current information. We will also discuss non-GAAP financial measures, which are not prepared in accordance with Generally Accepted Accounting Principles. A reconciliation of GAAP and non-GAAP results is provided in the press release and on our website. With that, let me turn it over to Graham.
Graham Smith: Thank you, Ken, and good afternoon, everyone. I'd like to begin by saying we are shocked and saddened by recent events in Ukraine, and we hope that the situation can be resolved quickly. While we don't have any Splunkers based in Ukraine, we do have friends and family members who are affected. We are monitoring the situation carefully, and we will prioritize employee safety and continue to set customers in Eastern Europe. And just to confirm, Splunk withdrew from the Russian market in 2019. On today's call, I've got a lot to cover, Q4 results, a new Splunk CEO, the status of our business transformation, normalization of our financials and guidance strategy. I will be joined by President of Products and Technology, Shawn Bice and, of course, Jason Child. Let's get started. When the CEO transition was announced back in November, the Splunk Board put its trust in our outstanding team to execute a strong Q4, and I'm very happy to report that the team really delivered. Jason will get into more detail, but I'm delighted with our results. Annual recurring revenue, cloud ARR, cloud DBNRR, revenue, operating margin and operating cash flow were all strong. In addition to a great Q4, I'm equally excited to announce the appointment of Gary Steele, a Visionary Technology executive and Founding CEO of Proofpoint, as the next CEO of Splunk effective April 11. Gary has over 30 years of experience and a track record of successfully scaling SaaS operations and growing multibillion-dollar global enterprises. Over the past two decades, he's led Proofpoint's growth from an early-stage startup to a leading security-as-a-service provider to some of the world's best-known organizations. Gary's software and cybersecurity expertise, deep understanding of recurring revenue models, operational focus and unwavering commitment to driving innovation and customer success will be invaluable to Splunk on our path of $5 billion and beyond. I know I speak for the whole Board, when I say how much we're looking forward to working with Gary, and how excited we are to have him on the team. In addition to this leadership update, we're also announcing that our President and Chief Growth Officer, Teresa Carlson, will be leaving Splunk later this quarter to pursue other career opportunities. Teresa has made many important improvements to both go-to-market strategy and operations during her time at Splunk. I'd like to personally thank Teresa for her contributions and wish her the very best for the future. Moving to our customer success. We had some exciting new expansion and renewal transactions during the fourth quarter, including Fred Loya Insurance, a new Splunk customer and one of the largest Hispanic owned and operated companies in the U.S. who purchased Splunk Cloud with workload pricing to further safeguard its customers' data and automate security initiatives. Box, a provider of cloud content services, expanded their commitment to Splunk Cloud platform, while also adding Splunk application performance monitoring from our observability product group. One of the leading online travel platforms is migrating from Splunk Enterprise to Splunk Cloud platform, with workload pricing, allowing them to expand their application development, reduce costly downtime, drive timely new product releases and ensure optimal customer experiences as travelers discover and book hotels, flights and more. The National Health Service in the U.K. expanded their use of Splunk Enterprise, Enterprise Security and ITSI across their cloud environment and are now using Splunk for synthetic monitoring to provide richer insights into the end-user experience for U.K. citizens accessing NHS Digital apps. And finally, one of Japan's largest auto manufacturers expanded its use of the Splunk Enterprise platform to speed up problem detection and decrease impact investigation and isolation times from hours to minutes, boosting efficiency by more than 90%. Turning to our cloud business transformation. We are very pleased with our execution and progress in fiscal 2022. Cloud represented 62% of our total software bookings compared with 50% in FY 2021 and 35% in FY 2020. We continue to make progress on improving cloud gross margin, and our workload pricing model has gained significant traction since its launch. In Q4, nearly all of our new cloud business was based on workload pricing. And at the end of the quarter, more than 40% of total cloud ARR was based on this model. We've also done a great job renewing and expanding thousands of Splunk customers during the year. Moving on to financials. As you know, there are two factors that significantly affect our revenue and bookings growth. The percentage of bookings from cloud and average term contract duration, both of which are driven by customer choice. For FY 2023, we anticipate our cloud bookings percentage will approach 70% for the full year, and we believe average term contract duration has stabilized in the range of 18 to 24 months. Because the year-over-year changes for FY 2023 will be less than the year-over-year changes for FY 2022, the result would be a significant normalization of our financials. Jason will provide more details later. We're also making some changes to how we provide guidance going forward. We've heard from many of you that while ARR has been a useful operational metric during our business transformation, it's a point-in-time measure that's difficult to reconcile with revenue. Now that our revenue growth is normalizing and is close to ARR growth, we've decided to provide only annual guidance for this metric, although we will report the ARR numbers for each quarter retrospectively. We will also update our annual ARR guidance if and when appropriate. It's our expectation that by the end of fiscal 2023, we will be able to dispense with ARR as a reported metric. Before I hand the call over to Shawn, I want to close with this observation. When you walk into any network operations center or security operations center that is using Splunk, you see that our platform is central to our customers' day-to-day work. It's not out on the periphery. It's fundamental. It's core. That's why more than 95 of the Fortune 100 choose Splunk, and that's also why we continue to show such strong renewal rates. I want to thank our customers and our partners for placing their trust in us. And, of course, I'd like to personally thank all Splunkers sustained focus and executing so well in our most important quarter of the year. It's been my great honor to work with you over the past 3.5 months. Now I'll turn the call over to Shawn.
Shawn Bice: Thank you, Graham. It's a pleasure to join today's call, and I'm here to share some thoughts about Splunk's innovation. Splunk is mission-critical to our customer’s operations, and we believe three things will grow our significance and opportunity in FY 2023 and beyond. First, customers want a platform they can build on. Second, customers want consistent security and observability across any cloud, on-prem or edge environment. They don't want disjointed siloed experiences. And third, customers don't want their data merely to be a record of what happened in the past. They want that data to make things happen in the business now. Only Splunk offers the combination of an extensible data platform, integrated full stack observability and security and end-to-end coverage from multi-cloud to edge. We're building on that differentiation, and it starts with our flexible and scalable platform that supports an expansive set of use cases. You can leverage Splunk built, search and reporting, security and observability solution, excess more than 2,400 apps available on Splunk Base and build custom applications tuned to your specific needs. We have exciting platform improvements that we'll announce in June at Comp 22, so we hope you'll join us for that. With security, Splunk takes a fundamentally different approach than pure-play security vendors. We're able to do that, because we have a massively scalable data platform with advanced analytics at our core. Our solutions are complementary to XDR capabilities, as XDR solutions only collect a subset of security data, leaving organizations open to threats hiding and missing data. With security fundamentally being a data problem, Splunk is best positioned to help protect organizations from ever-evolving threats across complex hybrid environments. On the observability front, we've innovated to provide end-to-end visibility across infrastructure health, application performance and digital customer experience with contextually rich AI-powered investigations. We recently announced that customers can now integrate Splunk Logs with broader observability telemetry data with Log Observer Connect. We are gaining significant market traction. And last month, we were named a leader and one of only two fast movers in the GigaOM Radar for application performance monitoring. To sum it up, it's clear that digital transformation is accelerating and requires data-driven innovation. Innovation can't succeed without a foundation of security and resilience. With our extensible data platform, integrated security and observability and future vision, we are uniquely positioned to help organizations achieve all three of these critical outcomes. We're excited about the opportunity ahead of us. Now, I'll turn it over to Jason for more on the numbers.
Jason Child: Thanks, Shawn. Q4 was an excellent finish to a strong year. Most importantly, the significant financial headwinds related to our transformation are now largely behind us. For the full year FY 2022, revenue growth accelerated from minus 5% to positive 20%. RPO bookings growth accelerated from minus 17% to positive 35%. Operating cash flow returned positive, reaching $130 million from almost $200 million negative last year, and we expect all of these metrics will continue to improve in FY 2023. To be clear, we are set up for the normalization of our core financial measures this year and beyond, dramatically simplifying our financial story. We ended the year with total ARR of $3.12 billion, up 32% year-over-year, and cloud ARR of $1.34 billion of 65%. We ended with 675 customers with ARR greater than $1 million, up 32%. And 317 of these customers had cloud ARR over $1 million, up 70% over last year. We continue to drive cloud adoption and develop migration strategies with our customers. As Graham said, cloud mix is likely to increase more gradually from this point. Our full year cloud bookings mix was 62% for FY 2022, and we estimate that it will approach 70% this fiscal year. This increase of roughly 8 percentage points compared to the 12 percentage point gain we saw from fiscal 2021 to fiscal 2022. Now that, revenue is normalizing and average term contract duration is more comparable on a year-over-year basis, RPO bookings is becoming a better indicator of overall bookings momentum and will be an important growth metric going forward. Our confidence in bookings growth is based on the scheduled renewal of approximately $1.5 billion of annual contract value this year and a consistently high cloud DB NRR, which reached 132% last quarter. In Q4, RPO bookings was $1.4 billion, up 38% over last year. On to the P& L. Q4 cloud revenue was $289 million, up 69% over last year, reflecting continued customer adoption of our cloud platform. Total revenues were $901 million in Q4, up 21% and significantly higher than planned due to more term contract volume and longer average ratio than we estimated. Professional services and education accounted for 5% of total revenues in the quarter. On margins, which are all non-GAAP, cloud gross margin was 67% in Q4, up five points from last year, as we realized leverage from sales and elasticity of the platform. Total gross margin was 82%, down slightly on a year-over-year basis due to the greater proportion of revenue contribution from the cloud. Operating margin was 16% in the quarter, significantly better than planned due to our bookings and top line outperformance. Turning to guidance. With most of the heavy lifting on transformation behind us, we’re entering the current year, FY 2023, with the financial model normalizing. As Graham mentioned, we expect ARR and revenue growth rates will converge this year. Going forward, we will continue to provide guidance on more traditional operating and profitability metrics, revenue, operating margin and cash flow. As Graham also noted, although we will maintain our full year ARR targets and update you quarterly on actual ARR throughout the year, we expect to retire ARR as a core metric at the end of fiscal 2023. We ended the year with 18 customers with ARR greater than $10 million, up from 10 last year, and all indicators point to continued strength in the demand environment. Based on this strength, we are maintaining our total ARR outlook of $3.9 billion and cloud ARR of at least $2 billion by the end of this fiscal year. We expect total revenues of between $3.25 billion and $3.3 billion, which will follow our seasonal trend of 40% first half and 60% second half. On the expense side, we expect cloud gross margins to gradually expand towards 70% by the fourth quarter, as we continue to migrate our cloud customers to the newest version of our services. Improving cloud gross margin should drive expansion of total gross margin nearing 80% for the year. Non-GAAP operating margin should also expand to between breakeven and positive 2% as a result of expense leverage and strong revenue growth. On the cash flow side, with our customer base now on annual billing cycles, our full year operating cash flow should rebound sharply to at least $400 million in fiscal 2023. Near-term, for Q1, we're expecting total revenues of between $615 million and $635 million with a non-GAAP operating margin of negative 20% to negative 25%, reflecting our normal Q1 seasonality. In closing, Q4 was a great finish to the year. The demand environment remains strong, and with the impacts from our business transformation mostly worked through, are set up for continued growth with a much simpler financial model is excellent. With that, let's open it up for questions.
Operator: [Operator Instructions] Our first question comes from the line of Brent Thill of Jefferies. Your line is open.
Brent Thill: A question for Graham and Shawn. As it relates to the security element of your story, if you could just give us a sense of what you're seeing in the pipeline. I believe you've said in the past that security is a very driver between 40% and 50% of revenue. Maybe if Jason can follow up and just provide a little more color around what's happening in this particular segment? Thank you.
Graham Smith: Sure. I mean just at a high level, Brent, it's clearly still the biggest -- the most important driver of our business today. I think it's approximately 50%, but Jason can follow up later. Shawn, what would you say in terms of kind of what we're seeing around customer activity?
Shawn Bice: Yes. The customer activity is -- with cybersecurity being heightened right now, we anticipate demand from customers to really increase as they look to strengthen their posture with heightened risk that's all around us today. And there's no question. I think customers are not confused at all that cybersecurity is business-critical. And really, what customers are always talking about is, how quickly they can detect and resolve things. So for example, there's customers that will share stories where without Splunk Enterprise Security, on average, their time to resolve an incident would take about a week. And then with Splunk Enterprise, that week would then turn into a day. So, they become much more efficient. They're using Splunk Analytics, and they have context of problems, and they can resolve it quicker. And then we have another capability that customers are thrilled about. It's called rules-based alerting. So going from a week to a day, with rule-based alerting, you go from a day to 10 minutes, and that's how quickly customers are able to resolve those issues. And we have over 2,000 automated actions built into our system, Dragon Drop visual playbook editors, and it really just underscores how mission-critical Splunk is.
Brent Thill: Thank you. 
Graham Smith: Thanks Brent.
Operator: Thank you. Our next question comes from Kash Rangan of Goldman Sachs. Your question please.
Kash Rangan: Hey thank you very much congratulations on many front there. Graham and team, how are you thinking about the sales leadership GTM transition? Obviously, Teresa have settled in very nicely in the space of the last 10 months or so. And you've got guidance, which we certainly appreciate. You're through the toughest parts of the transition. When -- what are the next milestones to look for a GTM leader and the transition involved since you have targets that you've laid out in the interim before you find a new head of GTM? Thank you so much. 
Graham Smith: Sure, Kash. Well, as I said in my prepared remarks, we're super grateful for Teresa's time here, and it's unfortunate to see her go, but we'll -- I'm sure she'll do something exciting. Going forward, clearly, we've got an interim position for about 5 weeks before Gary starts. My intent is certainly I'll just -- I'll be managing go-to-market directly just for that period. And then I think Gary's approach will very much be -- I mean, he's priority, I know we've already discussed it, is he'll want to meet a lot of customers, and he will want to meet a lot of employees and leaders. And so I don't know at this point if his intent would be to necessarily replace that role, the Chief Growth Officer, or whether he'll have another structure. So I think it would be premature to give you any kind of attempted -- an insight into where his mind will be. I'm sure he'll just want to -- he'll want to ingest a lot of data before he makes any decisions.
Kash Rangan: Thank you so much Graham.
Graham Smith: Thanks Kash.
Operator: Thank you. Our next question comes from Raimo Lenschow of Barclays. Please go ahead.
Raimo Lenschow: Hey thanks and congrats to the new leadership announcement. The -- can we talk a little bit on the cloud momentum that you're seeing there, what are customers actually doing? Is that kind of moving existing workloads in the cloud? Are you seeing -- starting to see some expansions into signal FX, so people are using it for infrastructure, monitoring and APM? So, just to get an idea like how much of that is net new versus like a conversion over from on-premise. Thank you.
Shawn Bice: Yes, this is Shawn. What I would say with customers, the way customers typically start off is they'll -- if they're new to Splunk Cloud, they'll take a smaller workload. And then they'll get familiar with the cloud, how we're expected to expect, et cetera. But what we see, as customers get comfortable and they build some confidence, then really big workloads come over, and that -- it's a good sign of what they believe in on the platform. And once they land, their customers will absolutely start to expand and start using different capabilities. There's quite a few customers that think about our observability and security tools like going hand-in-hand. It allows them to see things end-to-end. So, that's a pretty common thing. And then, of course, our platform is so extensible. You'll find virtually every customer basically building custom applications for whatever use case they have in their business. So, we start off pretty small and then we grow big, and then they start to -- they're all really looking to manage things end-to-end. That's how they end up using more capabilities from our product portfolio.
Graham Smith: And Raimo, just to give you a little more customer info. Certainly, of the names we talked in the prepared remarks, Box is using observability, so is NHS, the large travel company is, the large automotive manufacturers. So, I'm just giving you a flavor of some of our wins and expansions this quarter. Overall, we've been very pleased if we look at observability this year, if you remember, we really only launched the integrated observability suite in May of this year. So, we don't have a full year, but the growth has been certainly the fastest of any of our product groups. And we're delighted with kind of where we ended the year and obviously have got aggressive goals for next year.
Raimo Lenschow: Perfect. That's really clear. And then, Jason, one for you. Now that we finally got used to ARR, we kind of moving on at the end of the year, which kind of probably is a good thing. But just to kind of understand the logic. So, the idea is at the end of 2023, we have so much cloud, which means it's all very properly ratable, that we don't need ARR anymore to understand the dynamic in the business. Is that the right way to think about it?
Jason Child: Yes, yes. Raimo, I'd say the first thing is that we're really just not going to guide on it for the rest of this year. We're getting it out of the way. It's just -- it's -- now that we're actually seeing the full normalization of revenue to ARR, which is something I know you guys have been asking about for a while, now is the time to make that transition. Again, we will still provide it. As you know, it is pretty tough to do the reconciliation to ARR to revenue. In fact, it's not really fully possible without very amount of granular detail. The other thing is ARR is a little hard to forecast. And the reason it's hard to forecast is that ARR is actually impacted by cloud mix. I think, as we've told you guys in the past, customers who choose to move to cloud get an average of about 1.5x lift in ARR due to it being a fully hosted service. So, overall, our plan is with normalization occurring this year that focusing on GAAP metrics, like what you normally would look at for companies that are enterprise or SaaS, is now kind of the right time, since we're in the kind of the last phase of our transformation.
Raimo Lenschow: Perfect. Thank you. Congrats.
Graham Smith: Thanks, Raimo.
Operator: Thank you. Our next question comes from Brad Zelnick of Deutsche Bank. Please go ahead.
Brad Zelnick: Excellent. Thank you so much. Congrats on all the progress guys and congrats on being able to attract Gary into the CEO seat. I mean, really great hire. My question for you, Jason, it's really good to hear the $400 million plus operating cash flow that you've mentioned for fiscal 2023. How should we think about the trajectory of cash flow from here now that we're coming out the other side of the transition?
Jason Child: Well, so, really, as you -- you've, I think, followed the story for a few years now. We really -- the last year of kind of normalized cash flow was about $296 million in 2019. And then, as we started seeing -- or actually, I'm sorry, FY 2020. And then, of course, we move to change our collections from upfront to annual upfront to kind of conform with industry standard. And so really, what you're going to see now is, this next year is the first full year -- I'm sorry, it was FY 2019, that was $296 million. And new stock [ph] go to negative in 2020 and 2021, and then a partial year of normalization in FY 2022 with $128 million. Next year, the first full year of normalization at $400 million, you should expect to see it go up from there. In terms of what the magnitude is, that's kind of more of a timing question. I think in the past, I've told you that getting back to a 20% yield as a percentage of ARR or revenue is where we've been before the transformation and expect to get to after the transformation. We'll need to wait until we provide multi-year kind of targets before I can give you the exact time frame.
Brad Zelnick: That's helpful, Jason. I really appreciate it. Maybe one quick follow-up is to follow on Raimo's question. We've seen -- you guys given great disclosure over the years. What should we focus on? Because if you really don't lead us, everybody is going to come up with their own calculation of all the numbers we do get. But what should we really look at as the leading indicators for the business at this point?
Jason Child: Well, for growth, I think, revenue and RPO bookings, which I -- which is basically RPO bookings is very similar to what billings was before 606. So I think those are the two best growth measures. And then ultimately, operating margin is starting to come back in line. That's still going to take another year or two to fully normalize. I would say cash flow is the best measure for kind of efficiency of the business until you see that full normalization in operating margin.
Brad Zelnick: Awesome. Thanks again guys.
Jason Child: Thanks, Brad.
Graham Smith: Thank you.
Operator: Thank you. Our next question comes from Phil Winslow of Credit Suisse. Your line is open.
Phil Winslow: Hey, thanks guys for taking my question and congrats on a strong close of the quarter and particularly also just the cash flow guidance for this coming year. I wanted to focus in on the observability. Obviously, you've had a lot of investment there in terms of just organic and R&D inorganic acquisition. But I guess this question is to Shawn. When you hear about sort of why Splunk is winning with these customers, what is the feedback that you hear back? And then from your perspective, from a product side, what are kind of the focus points going forward for the observability suite? And then just one follow-up for Jason.
Shawn Bice : Yes. Typically, when a customer is looking at observability, they're usually in the cloud. They're building a new cloud application. And when I say build cloud application, it's usually a microservice architecture. So instead of an old monolith as a single app, they're stitching together a whole bunch of components that would make up an app. And really, there's no human being that's going to be able to understand all of that, and that's why they need tools. And observability, particularly our observability has built-in distributed tracing. And then anyone who's trying to run a huge app in the cloud that's component-based or microservice architecture, they go straight to observability, they use distributed tracing. We have full fidelity measurement, which means an operator can literally see every single event in that system, understand the relationship between all the components. And they can basically manage the environment with ease. That's what draws people into it. And then when we think about the road ahead, my answer to this will always be the same. It's what customers need us to do. We partner with customers all the time. They're the ones that create our roadmaps. And so any time we look at a roadmap together, it's always working backwards from our customers.
Phil Winslow: Got it. And then, Jason, just a question for you, looking at sort of the sales productivity and capacity. In terms of just productivity and ramp time, I wonder if you can give us just update on there. And as you think about just sort of go-to-market capacity in fiscal 2023, how should we think about just the potential increased investment there? Thanks.
Jason Child : Thanks, Phil. I guess, in terms of productivity, we've seen pretty significant gains in productivity last year, and we expect to see that next year as well. And the reason why is because the renewal base is growing so significantly. And efficiency on a renewal is much higher for other sales motions. And so the renewal base went from $600 million, $700 million last year. It's going to be around $1.5 billion this year. So one that provides, I think, higher confidence in our forecast for next year than -- really than we've ever had, one. And then two, it does provide for pretty significant efficiency gains. So does that answer your question?
Phil Winslow: That's helpful. Thank you.
Graham Smith: Thanks, Phil.
Jason Child : Thanks, Phil.
Operator: Thank you. Our next question comes from Keith Bachman of BMO. Your question please.
Keith Bachman: Hi. Many thanks. I was going to try to put in two. Graham, last quarter, I had asked you about why it was perhaps the appropriate time for Doug to transition. And my summary of your answer was, skill sets and really about scaling the business. And when I think about -- you announced that Gary is going to run it. Proofpoint was about half the size of what Splunk is or what Splunk has guided to be. So I'm just wondering, it doesn't seem like Proofpoint was the scale determinant perhaps, but if you could just give a little color on why you think Gary is the right person to lead Splunk at this juncture. And then I have a follow-up for Jason, please.
Graham Smith: Sure. No, I think the -- I mean, it's a great question and obviously a highly relevant question. I think the three things I talked about on the call last time were good fit from sort of values, point of view, culture, someone who knows how to drive performance with culture. I talked about certainly building companies at scale, experience in global companies, et cetera, and then strong operational skills along with that. And then the third thing I talked about was the ability to translate what is relatively complex technology into business value. I think that's a really important scale in the markets, which we operate in. And as -- we had great candidates. We had both internal and -- great internal and external candidates. And I think it's always tough to sort of decide in the end what your priorities are. But I think, basically, where we come back to it, Gary, is he's certainly a builder. He's shown an amazing operational resilience, basically to take a company from zero to over $1 billion at Proofpoint. He certainly has worked in large-scale companies, both at San and HP. So he understands how multibillion-dollar enterprises work. But then we get enormous enterprise software experience, SaaS experience, cybersecurity domain experience, just all of the things that ultimately blend together, we think, to provide the right leader for Splunk. So I certainly view him as a strong operator. And maybe Shawn -- I know Shawn and Jason have talked to him. Shawn, if you wanted to add any comments to my assessment of Gary.
Shawn Bice: Yes. When I first met Gary, I found somebody who is a careful listener. He seemed very customer-centric. He definitely struck me as an operator in terms of rolling up the sleeves. I felt like he had good judgment. And then he, of course has a long track record of managing Boards and working with investment communities. And I was hired by Doug, and I thought I was going to be working for Doug. But the reality, the reason I'm here today and the reason I'm going to be here is because of Gary. He seems like an outstanding leader, but that's why I'm here.
Keith Bachman: Okay. Well, thank you for that answer and I am glad you’ve committed.
Graham Smith: And Jason was just going want to say something. No, you go ahead and ask your question. Then Jason can cover both of them.
Keith Bachman: Okay. Fair enough. Jason, I did want to transition the $1.5 billion of renewals that are up for this year. I just wanted to try to understand how that manifest in revenues. And so, a, is that mostly the perp to term that was written three years ago? And is that -- in your mind, is that mostly going to cloud? And just how should investors be thinking about that opportunity and how it will manifest itself in terms of the metrics that we will see?
Jason Child: Okay. So I guess, first, let me add on -- or pile on to Graham and Shawn's answer on Gary. What I would -- I mean, they covered most of the aspects. The only thing I would add is I thought, look, Gary definitely strong operator, very strong alignment on values and culture. I think the one thing that also was really unique and helpful he has gone through a transformation, and that is a -- as you all know, it's kind of a full contacts Board. And so while we're in the last phase, still, having that experience, I think, is helpful as well. Okay. So, second, on your question about the renewals. So the $1.5 billion renewals, those are really customers who may -- who already made the perp to term conversion, and those customers are now coming up for their first term renewal. And while we -- the best way to predict what the mix of cloud is going to be for those customers, I would look to kind of what our current cloud mix is. If I look at this last year, we were at 62%, a little higher in the back half. If you look at the kind of 60% -- mid-60%s, I think we said next year, we expect it to be approaching 70%. You should assume that, that renewal base is going to be likely right in line with that percentage of moving to cloud.
Keith Bachman: Okay. All right. Many thanks.
Jason Child: Thank you.
Operator: Thank you. Our next question comes from Matt Hedberg of RBC Capital Markets. Please go ahead.
Matt Hedberg: Hey guys. Thanks for taking my question. And I'll add for my congrats to Gary as well. It will be great working with him again. Just one for me. Graham, I guess -- or Shawn, with the success of Splunk Cloud, you obviously talked a lot about the success of that in your prepared remarks. I'm wondering if you can comment on if that's starting to help accelerate new customer adds. And really, any comment maybe on just how fast your overall customer base is growing. I know there's a huge expansion opportunity. Maybe just that growth of that customer base.
Graham Smith: Yes, I'll take that. I think -- look, clearly, we've added, I think, a similar number of customers in the low thousands each year. We have not been a customer, new logo kind of machine. I think there's an opportunity for Splunk in the mid-market that we haven't really fully gone after. And I think that's certainly something that I would imagine and certainly be on Gary's list of opportunities. There are some technical things we might have to do to go after that, but I think they're relatively straightforward. And I think in our go-to-market motion, we're very much focused on larger enterprises. So, I think there's opportunity there. So, I think I'd sort of leave it at that. And then since you know Gary, give him a couple of quarters and then ask him that question again.
Matt Hedberg: Great. Thanks a lot Graham.
Matt Hedberg: Thanks Matt.
Operator: Thank you. Our next question comes from Michael Turits of KeyBanc. Your line is open.
Michael Turits: Thanks guys and congrats on lots of fronts. Jason, for you, back to the ARR issue. Obviously, it's great to simplify. I guess, my question is, if you get rid of ARR in terms of guidance then eventually, what do we do about the volatility that -- or lack of visibility we still get in revenue relative to duration and mix as we could see from what happened this quarter? So, -- and that's not -- that would impact RPO bookings as well, which equally is impacted by duration. So, how can you help us to get the right model and then rectify any discrepancies when those things happen?
Jason Child: Well, I mean, we're providing a lot of metrics right now. And I mean, you're still going to get all those -- I mean, you're still going to get ARR. Again, we're not pulling it away. And I think I've heard from most of you guys that you can't reconcile ARR to the other metrics anyhow, as it is the performance or it's an operating metric and not even a GAAP or non-GAAP metric. So that's part of the reason why we think it makes sense now that you're finally seeing normalization in revenue with ARR. So in terms of RPO bookings, we do provide duration. You can duration adjust RPO bookings. I mean, we don't provide that. If you did do it, for example, in this quarter, you actually would have a slight increase. I think it would have been 42% instead of 38%. But we provide the numbers so that you guys can, I think, try to do whatever reconciliations you want to do. But overall, as I said earlier, I think revenue and RPO bookings really are the best measures to evaluate our growth, and that's pretty consistent, I think, with most others in software.
Michael Turits: And then maybe for Shawn and Jason combined. You thought that cloud gross margins would flatten here. It looks like you do exit at 70%. So is that indicative of some success with solving some of the challenges you had with the rollout of the new SAP platform in terms of scaling and elasticity?
Shawn Bice: Yes. Jason, I'll go ahead and start. Yes, the team has been making good progress on -- we're trying to iterate and make progress every single week. So you are seeing some success there. And just as a reminder, like, when our customers start, they usually start with small workloads, and then the really big ones show up. And the reason these really big complicated workloads are so important is we have to fine-tune our system. And then we have to make sure that we're getting these workloads exactly what they need, when they need it and not charging them for anything that they don't use. So when you think about the type of work that we're doing, just imagine that fine-tuning behind the scenes from a customer's point of view, the cloud is just working and I'm scaling just fine. But that's what we're steadily making progress toward.
Jason Child: Yes. No, I don't know if there's a whole lot to add, other than, as I said in the prepared remarks. I do expect us to get to approaching 70% by Q4 next year. And that -- the puts and takes are how many large-scale cloud migrations do we have and then how quickly can we tune and really optimize the elasticity around those migrations. And we're trying to make sure we're giving ourselves room because, overall, this is generally, I'd say, more of an execution challenge than an innovation challenge. We know how to do it. It's just a matter of you really need to get those large-scale migrations done and then be able to have a stabilized cloud mix, and that's when you can really work on tuning gross margin.
Michael Turits: Thanks.
Shawn Bice: Thank you, Michael.
Jason Child: Thanks, Michael.
Operator: Thank you. Our next question comes from Gray Powell of BTIG. Your line is open.
Gray Powell: Great. Yes. Congratulations on the strong results and excited to see Gary joining the team. We're a big fan of his work at Proofpoint as well. So, yes, I just want to follow up on the $1.5 billion in ACV that's up for renewal this year. And I know you've touched on it already, but I just want to make sure I'm thinking about it correctly. So it sounds like most of that is on-prem today. You called out like a 1.5 times multiplier when on-prem goes to cloud. And you talked about, call it, 70% of bookings being from your cloud form factor. So are those sort of like the moving parts we should be thinking about when this ARR comes up for renewal? And then, also, how should we think about additional upsell or cross-sell of new products on that opportunity just because, well, I guess, I hear that it's relatively easy to sell more products in the cloud form factor then it is on-prem. So yes, just anything that you can help us fine-tune the thinking on that ACV up for renewal?
Jason Child : Yes. I would say on the $1.5 billion of renewals, it is -- the vast, vast majority of it is -- it's not entirely on-prem, but it's almost all on-prem, because these are customers that first converted from perp to term roughly three years ago. And our cloud mix at that time was very, very small. And so in terms of the portion, as you said, I think the factor is right. Should you assume that they're converting at roughly somewhere in this 70-ish percent range? And should they be getting roughly 1.5x lift? That's probably largely right. The one thing to factor in though is that, as Shawn said earlier, most of these customers don't just lift and shift everything at one time. They tend to move it more gradually, and they move some workloads over -- and it really just depends on whatever makes the most sense for them. And so that's part of what makes it tough to predict exactly what cloud mix is going to be. But those -- I think, the factors you identified and hopefully the color I have provided make it clear as to how and why we're so confident in the growth trajectory for next year.
Graham Smith : I just wanted to add a couple of observations from phone calls I've been on with customers this quarter. I think -- we are -- as we said in our prepared remarks, we are still obviously leading with cloud. And over time, we absolutely expect to have a higher and higher percentage of our overall business on cloud. But the reality is when you talk to large customers, when you talk to banks and large enterprises, as Jason has just been describing, it's just not a simple cut over. It's not like at one point they're on term and then the next minute, everything is on cloud. So I just want to emphasize in the big picture here is that we're making incredible progress on cloud. But equally, there's going to be a bunch of large customers who will take quarters and maybe years, in some cases, where they'll be in this hybrid environment. Maybe they'll be in hybrid for a long time, and that's one of our many strengths at Splunk that we alone can handle those hybrid environments perfectly.
Gray Powell: Understood. Okay. Thank you very much.
Graham Smith : Thanks, Gray.
Jason Child : Thank you.
Operator: Thank you. Our final question comes from Fatima Boolani of Citi. Your line is open.
Fatima Boolani: Good afternoon. Thank you for taking my question. Jason, I wanted to drop off of Gray's question earlier with respect to the inputs and the variables in consideration for the renewal ACV business. I wanted to ask you about the impact of workload pricing specifically. To that pool of renewals, how is that sort of manifesting in terms of maybe lower ASPs as customers sort of recalibrating the resources that you're using and how they're repaying you for Splunk Enterprise? And then I have a quick follow-up.
Jason Child : Yes. So yes, what I would say is that of the renewal -- sorry. Could you repeat the question?
Fatima Boolani: Sure. Yes. Just the variables involved with the $1.5 billion of ACV that's up for renewal, I'd imagine another consideration of customers sort of electing to move to a workload pricing format or pricing structure. So how we've thought -- how should we think about that sort of dovetailing impacting negatively or positively to that renewal and growth profile?
Jason Child: Okay. Great. So what I would say is that, I think, as Graham said in our prepared remarks, substantially, all of our new cloud business is adopting workload-based pricing. We've also said in the past that if any customer that adopts workload-based pricing, they're putting in between 1.5 and two times more data into Splunk than they were before. So what that means is, I think it's better for us and better for customers. Customers are effectively paying maybe a lower price effectively on what's being adjusted on a per terabyte basis, but they're pretty more in. So the effect of price sense are being about the same, which was really kind of the whole objective. What we're trying to do is get folks not to restrict or limit data that they're putting into Splunk to try to only -- because we were perceived as expensive, and they were just using us for some of the most critical workloads and they're trying to find a cheaper alternative otherwise. So as a result, there really is no impact on the kind of overall net ASP relative to where it was before. They're just paying maybe a slightly lower price per terabyte than they were before or if you convert terabytes into workloads, if you will, because it takes a little bit of math to do that. But does that make sense?
Fatima Boolani: Absolutely. That's very clear. Thank you for that. And then just the last one for me, if I may. Just with respect to kind of the hiring environment that's become increasingly competitive. I wanted to get your perspective on what you're seeing in terms of wage inflation. What's sort of baked into your full year operating margin targets? And maybe specifically on your free cash flow or operating cash flow guidance for fiscal 2023, how much of an influence should stock-based comp have as a result of some of these competitive hiring environment backdrop? And that's it for me. Thank you.
Graham Smith: Sure. Fatima, this is Graham. I'll take those. I think, generally, like pretty much every other company that I can name, we've seen an uptick in attrition certainly over the last four to six quarters. I don't consider Splunk as being anywhere near at the top of that list. I think we've done a good job retaining employees. And I think the news of Gary's appointment will be super motivational for our employees and, obviously, for people who are considering joining the company. So I don't -- I think we've budgeted a few percentage points more on our annual focal, nothing dramatic, but I think we certainly had to put something in there. That's baked into our cash flow forecast. I think it's all -- we've taken appropriate steps, and I think we'll find out if it was enough as we go through the year. It's clearly a very competitive hiring environment. But ultimately, people stay at companies because they believe in the mission of the company. They like the boss or they like the team they work with. They feel they're learning and developing in their roles. I think, ultimately, there's only so far you can chase people with cash compensation. So I'm not really sure I've got anything illuminating to describe on the stock comp basis. I think -- I'm not exactly sure what your question was. Maybe you want to -- do you want to have another shot of it on the stock comp side?
Fatima Boolani: Sure. Yes, just the influence and where we should expect stock-based compensation levels to trend over the course of this year, just specifically pertaining to some of the comments you just made and sort of how it's an important driver or contributing factor any way to operating cash flow.
Graham Smith: Yes. Splunk is at the end of it's evergreen in terms of its stock plan, so we'll be actually going out to shareholders in the middle of this year to get approval on a new plan. So, I think, generally, you would expect our stock-based comp to probably trend down over time, not trend up. But I think beyond that, we haven't really given any guidance specifically around stock comp. So, I think that's all I could really say.
Fatima Boolani: Fair enough. I appreciate that detail. Thank you so much.
Graham Smith: Thanks Fatima.
Operator: Thank you. At this time, I'd like to turn the call back over to Graham Smith for closing remarks. Sir?
Graham Smith: All right. Well, thank you. Before I do anything, I just want to thank Jason for being an absolute trooper. It may or may not be apparent to you guys, but Jason is not in the office with us. He's in a biohazard suit somewhere down in San Jose. He actually has COVID-19. So, -- but just absolutely push through it to be on the call today. So, thank you, Jason. Much appreciated. I think I predicted on the last call, I said I'd be pretty sure I'd be on this call, and I'd be disappointed if I was on the next one. So, I'm satisfied with my guidance on that. And I think you'll -- obviously, you'll have a great time working with Gary in the quarters to come. It's been a blast for me working here for the last four months. I clearly going to see him super involved as Chair of the Board. I think Splunk is very well set up. I talked about the operating plan, how important it was to get the operating plan and the guidance really as well for the company set up for FY 2023. And I think Splunk is incredibly well-positioned, and I know that Gary is a leader who will capitalize on all the assets of the company, the technological and the people assets of the company to continue to drive growth for many years to come. So, thanks for all your support and look forward to talking to you maybe in the call back. So, I appreciate the time. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.